
Executives: Peter G. Walsh - CFO and Sr. VP  Philip A. Hadley - Chairman and CEO  Michael F. DiChristina - President, COO  Michael D. Frankenfield - Sr. VP and Director of U. S. Investment Management Services  Kieran Kennedy - Director of Investment Banking and Brokerage Services 
Analysts: Peter Appert - Goldman Sachs  John Neff - William Blair & Company  Lisa Monaco - Morgan Stanley  Jeff Cardon - Wasatch Advisors 
Operator: Welcome, and thank you for standing by. At this time, all participants are in a listen-only mode. And welcome to the FactSet Research Systems Fourth Quarter Fiscal 2007 Quarterly Earnings Conference Call. [Operator Instructions].  Now I will turn the meeting over to Mr. Peter Walsh, Chief Financial Officer. Sir, you may begin. 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Thank you, operator. Good morning, and thanks to all of you for participating today. Welcome to FactSet's fourth quarter earnings conference call. Joining me today are Phil Hadley, Chairman and CEO; Mike DiChristina, President and Chief Operating Officer; Mike Frankenfield, Director of our U. S. Investment Manager business and Kieran Kennedy, Head of Investment banking.  This conference call is being transcribed in real-time by FactSet's CallStreet service and is being broadcast live via the internet at factset.com. A replay of this call will also be available on our website.  Our call will contain forward-looking statements reflecting management's current expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet's business and financial results are in FactSet's filings with the SEC. Lastly, FactSet undertakes no obligation to publicly update any forward-looking statements as a result of new information, future events or otherwise.  We'll divide our time today in three ways. First, we'll review fourth quarter results. Then I'll cover guidance for the upcoming first quarter of fiscal 2008. Finally, we’ll close with our management team addressing your questions.  Before covering results, I'd like to take a moment to highlight two items. One, included in the just completed fourth quarter were income tax benefits related to prior periods of $1.1 million or $0.02 per diluted share. This was a result of FactSet beginning to include in an estimated tax liability, a benefit related to the repatriation of foreign earnings to the U. S.  Two, like last year, we added a supplementary schedule in today's press release, that summarize quarterly revenues related to FactSet's services that are not included in our calculation of annual subscription value. These revenues are not material but were disclosed to aid in investors' ability to make more precise interpretations and forecasts of FactSet's revenue.  Overall, we had a very good quarter. We delivered solid revenue growth, healthy margins, strong earnings and another quarter of impressive free cash flow. Performance was driven by adding more users and selling the existing clients additional applications and content. Deployment of Marquee, the PA workstation, IBCentral and our risk and quantitative services continued to expand across all geographies. Broad-based growth has been the catalyst to accelerating our growth rate by more than 200 basis points, to 22% over the last 12 months. This is translated to a record level of free cash flows for the fourth quarter and for the just completed fiscal year.  Let's begin the highlights of the quarter with free cash flow. Free cash flow captured all the balance sheet and P&L movements. As a reminder, we define free cash flow as cash generated from operations which include the cash cost for taxes and changes in working capital less capital spending. Free cash flows generated during the quarter were $43 million, up 45% over a year ago. During fiscal 2007, free cash flows increased 20% to $170 million. One very interesting relationship is the comparison of earnings to our free cash flow. Fourth quarter free cash flow exceeds net income by 40%. Free cash flow for fiscal 2007 was 7% higher than net income. This illustrates the quality of our earnings, since at many public companies free cash flow is less than net income.  Drivers of free cash flow during Q4 were record levels of net income and an $18.3 million improvement in working capital, partially offset by higher capital expenditures. Working capital was aided by increases in accounts payable and accrued expenses.  When considering free cash flow for the upcoming first quarter, please factor in that FactSet pays variable employee compensation related to the previous fiscal year in the first quarter. This cash outlay will approximate $28 million in the first quarter of fiscal 2008. This is included in accrued compensation and represented as a liability on our balance sheet at August 31.  Capital expenditures in the fourth quarter were $13.8 million and $11.4 million, net of landlord contribution for construction. Expenditures for computer equipment were $6.4 million, and the remainder was for office space expansion. Major expenditures included adding four HP Integrity mainframes to our data centers, and building out new space to complete the consolidation of five New York City office locations to one.  Our ending cash and marketable securities balance was $186 million, down $3 million over the past three months due to returning excess capital to shareholders. During Q4, we invested $46 million to repurchase common stock. And at quarter end there was $57 million in remaining share repurchase authorization. Shares outstanding at August 31 were $48.3 million. We also paid a dividend of $5.9 million, up from $3 million in Q3.  Now moving to the P&L. Revenue was $129.5 million, up 23.1% versus a year ago. Excluding currency, the revenue growth rate was 22%. Operating income advanced 28% to $42.7 million. Net income rose 31% to $30.7 million in the fourth quarter. The growth rate of operating income was added…aided by redundant real estate costs incurred only in the year ago quarter. In addition to higher operating income, net income was favorably impacted by other income and a lower tax rate. Other income rose 66% to $2.4 million. Our effective tax rate declined 68 basis points to 31.8% from Q4 last year.  Let's take a look at the revenue drivers. Subscriptions increased $27.7 million during the quarter, and were up $27 million, excluding currency. On a constant currency basis, subscriptions advanced $92.5 million over the last 12 months, up 22%. As a reminder, we define subscriptions as the forward-looking revenues for the next 12 months from all subscription services, currently being supplied to our clients. Professionals using FactSet increased to $35,000, up from $33,300 at the beginning of the quarter. Client count was 1,953, as of August 31, a net increase of 39 clients during the quarter.  Let's turn to the trends we see happening in our client base. We are especially pleased with the broad appeal of FactSet to users across the world, as evidenced by our high rates of growth of both our U. S. and non-U. S. businesses. The U. S. business produced revenues $91.1 million in the fourth quarter. Excluding non-subscription revenues, its growth rate improved 300 basis points to 22% over the year ago quarter.  Applications such as Marquee 3.0 and IBCentral were the catalyst to increase in the number of FactSet users. Demand for advanced services in computing power related to risks, quantitative and portfolio analysis continuing throughout the client base. At quarter end client using the portfolio analysis workstation increased to 540, representing approximately 4,700 users. Revenues from overseas increased to $38 million. New clients and incremental sales of the portfolio analytic suite of products were key revenue drivers. Excluding currency and non-subscription revenue, the growth rate from the non-U. S. operations was 21.6%.  By region, quarterly revenues from our European and Pacific Rim operations were $31 million and $7 million respectively. Subscriptions by non-U. S. base clients were $157 million, representing 30% of the company wide total.  Client retention remained above 95%, once again confirming the high quality of our product suite and our client base.  Moving to expenses for the quarter. Operating expenses were $86.9 million and our operating margin was 32.9%, up 50 basis points from Q3. The margin increase from Q3 is temporary, and primarily the result of workstations sold to summer interns only in the fourth quarter.  Cost of sales as a percentage of revenues was up 120 basis points over the prior year. Higher compensation and data cost were partially negated by lower amortization of intangible. The increase in compensation was driven by new employees. Data costs rose from incremental royalty payments to data suppliers and expanding our coverage of proprietary content. The decrease in amortization expense was caused by a decline in acquisition activities compared to previous years.  SG&A expense expressed as a percentage of revenues, declined 250 basis points year-over-year. This decrease was driven by lower occupancy expense, compensation costs, marketing and professional fees as a percentage of revenues. Lower occupancy costs was caused by redundant office space in the prior year, during the time our European headquarters was under construction. Excluding this item, occupancy costs were consistent with the year ago period as a percentage of revenues.  The reduction of compensation cost relates to the timing of accruing variable compensation. Lower marketing and professional fees was driven by keeping our investment levels consistent with last year while growing our revenue base.  Please note that in August 2007, the company granted 1.5 million employee stock options. Like the last year, up to 63% of the options granted vest only if certain company performance metrics are achieved over the next two fiscal years. The Company's progress toward obtaining these performance metrics could change our stock option expense in future quarters. For additional information, please review our recurring discloser on performance based options in fact at 10-Q and 10-K filings with the SEC.  Employee count as of August 31, 2007 was 1,653, up 23% from a year ago. Our total sales force grew approximately at the rate of revenue.  Other income grew to $2.4 million, up 66% versus the fourth quarter last year. Higher cash balances and interest rates drove this increase.  Our effective tax rate for the quarter was 31.8%. This rate can be broken down into 34.2% from recurring operations, offset by a benefit of 2.4% from recognizing a tax benefit for prior periods related to repatriation of foreign earnings to the U. S.  Let’s now turn to our outlook for fiscal 2008 first quarter. First off, please note that the earnings release date for Q4 was a week later than our normal schedule to account for the first business day of the month falling on September 4. We expect to revert to our normal schedule with the call on Tuesday, December 18 for the first quarter.  Now, turning to the specifics. Q1 revenues are expected to range between $131 million and $135 million. This includes a $1.2 million reduction primarily from workstations sold to summer interns for use only during the fourth fiscal quarter. Operating margins are expected to range between 31.5% and 33%. The return to our normal guidance range versus Q4 reflects the seasonal revenue benefit from workstations used by summer interns. The effective tax rate is expected to be between 34% and 35%. Our CapEx range net of landlord contributions for fiscal 2008 is $38 million to $44 million. This includes enhancements to FactSet's data centers by upgrading to HP’s Integrity mainframes.  To sum it all up, our business has continued to thrive during the latest year. In fiscal 2007, we crossed over the $500 million mark in annual subscription and added more than 200 basis points to our annual revenue growth rate. The good news to our shareholders and employees is that we believe our opportunity is ahead, not behind us. The current 35,000 FactSet user base represents just 7% of the professional investment user community. While we like our competitive position in the marketplace, and we are pleased with our progress, we have an ambitious agenda and there is a lot of work ahead.  Thank you for your participation in today’s call. We are now ready for your questions.  Question and Answer 
Operator: Thank you. [Operator Instructions].  Your first question comes from Mr. Peter Appert, Goldman Sachs. You may ask your question. 
Peter Appert - Goldman Sachs: Thank you. Good morning. It looks like the momentum in terms of clients and users for the Portfolio Manager Workstation accelerated here in the most recent quarter. Any thoughts on what might be driving that? 
Philip A. Hadley - Chairman and Chief Executive Officer: Peter, hi. This is Phil Hadley. 
Peter Appert - Goldman Sachs: Hi. Phil. 
Philip A. Hadley - Chairman and Chief Executive Officer: I think, if you are going to look at even… change in trajectory of total seats, we've built out our sales force on a specialty basis pretty substantially throughout the year to focus on particular product lines. I think the fourth quarter probably illustrates success in that area in penetrating current clients and diverting them in that particular product line. 
Peter Appert - Goldman Sachs: Can you give us any specifics, Phil or Peter, in terms of number of sales people, specifically today versus a year ago? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Yes. We grew our sales force, Peter, approximately at the rate of revenue growth versus a year ago. 
Peter Appert - Goldman Sachs: How about number of salespeople? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: We broke the company in the third… a third of sales consulting, a third of engineering and cost development and a third of content collection and administrative functions. 
Peter Appert - Goldman Sachs: Okay. And then, Phil, any thoughts on the development of the fixed income product? I understand it’s a small component obviously of the business currently but just the traction you are seeing there and whether there’s any push back from clients in the context of just the turmoil we are seeing in the debt markets currently? 
Philip A. Hadley - Chairman and Chief Executive Officer: I would make just two points. You are correct, it is still immaterial as far as fact that goes, it's moving nicely in the PA product line, for PA fixed-income and we are continuing to focus on the standalone products as well, but it’s still single digits for us as far as total ASPs. As far as the turmoil in the credit markets, again I think our exposure is so low that it’s hard for me to even make a comment at this point. 
Peter Appert - Goldman Sachs: Are you hearing anything, Phil, back from customers in terms of again the turmoil in the capital markets that might suggest the greater resistance to adding terminals going into fiscal ’08? 
Philip A. Hadley - Chairman and Chief Executive Officer: I haven’t seen anything yet. 75% of our business is the buy side, and if you look at the U. S. market, all the markets, our major indices are still up for the year which bodes well for us. If we get to the sell side you obviously have the equity research department which is more tied to the buy side and then you get to the investment banking areas. And I think you have seen mixed results firm by firm as to what the year turned out to be. So I think we have still got such a huge upside and such a small spend in part of these firms, and in addition to which I think that firms are continuing to consolidate under our product lines and simplifying their IT spend choosing FactSet. So I really see a lot of opportunities ahead of us. 
Peter Appert - Goldman Sachs: Okay, great. I’ll just add two more and then try to stop being a hog here. The pace of share repurchase activities, you stepped it up here obviously, Phil, this year. Is this year’s pace a good indication, do you think, of what we should look for next year? 
Philip A. Hadley - Chairman and Chief Executive Officer: We are constantly evaluating how best t o return our profits to the shareholders. Obviously we increased our dividends. Share re purchases is certainly a mechanism in addition to M&A activities. I think since we are such a cash flow positive business you’ll continue to see us optimize those three as best as we best feel would be for the shareholders. 
Peter Appert - Goldman Sachs: Okay, that was very political. The last question Phil, any particular new products or new product offerings or product line extensions we should be focused on over the next 12 months that could be drivers of revenues? 
Philip A. Hadley - Chairman and Chief Executive Officer: Our entire product line is really incrementally enhancing everything we already do. Marquee is a great example. We have been incrementally enhancing that since we released the product three or four or five years ago. At this point, it will continue to get enhancements like any other product line. So for something to be a driver of revenue it's probably got a five year run before it gets to the point where it really is a contributor from what you think of as the contributor. 
Peter Appert - Goldman Sachs: Okay. 
Philip A. Hadley - Chairman and Chief Executive Officer: So, we invest heavily in our products. A Peter was describing, a third of our business, a third of our employees are really in the product creation side so… 
Peter Appert - Goldman Sachs: Great. So more of the same? 
Philip A. Hadley - Chairman and Chief Executive Officer: Yes. 
Peter Appert - Goldman Sachs: Okay, thanks. 
Operator: Our next question comes from Kevin Dorrody [ph], Banc of America Securities. You may ask your question. 
Unidentified Analyst: Great, thanks for taking my call. Just to follow up on one of Peter’s earlier questions about the seat growth, can you maybe just give us a sense of the mix of your new users? Is that still coming in, kind of a 75% investor management, 25% banking split? And then also, how you think about new users coming from your existing clients versus new users, new clients? 
Philip A. Hadley - Chairman and Chief Executive Officer: On the seat, I think if you were going to look at our seat and client growth, it is always going to be lumpy to some degree. Large clients can make broad decisions that affect our seat counts quarter-to-quarter. I think as a whole, I am certainly pleased with the year because our seat count accelerated. And the second question was there? 
Unidentified Analyst: And then again, just more of the mix between growth from new users and existing accounts versus the users from new clients? 
Philip A. Hadley - Chairman and Chief Executive Officer: I would say the majority of our seat count is with existing clients. Most clients come on with a small seat count, and then over the years expand. 
Unidentified Analyst: Okay. And then just a question on how we should think about your margins going forward. I know in the past you'd talked about kind of reinvesting the upside, but I know this year, it’s kind of [inaudible] in a few years that your top line growth was really out paced by the bottom line. Was there anything unusual about ’07 that you were able to generate so much leverage? And should we expect more of a top line growth to track the bottom line, maybe as we look out over the next few years? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Thanks, Kevin. I think when you look at ’07, I think two things certainly helped the relationship of bottom line versus top line, and that was other income was up consistently in strong percentage of 56% in the most recent quarter year-over-year due to our higher cash balances, and real higher interest rate. And also our effective tax rate dropped, we ended last year at just a little north of 36% and the current rate for the year was 34.2%. So I would… so I think we are really managing the Company for our revenue top line growth and bottom line growth to be more consistent than what they were in 2007. And it's hard to predict. But I do think our other income and improvements in the pipeline will continue at the rate we saw this year. 
Unidentified Analyst: And then maybe kind of just above the line, your margins did expand at least this past year, how should we think about that, going forward then and how does that balance out your reinvestment strategy? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: We have been really managing the Company for our margins to be flat. And we are managing that primarily through investing back into the product. And that investment comes in two forms. One is people, which you see in that, that we really increased our headcount by 23%, which was very significant relevant to other years. And the other form is expanding some of the contents that is available in FactSet either through third parties or through what we build by ourselves. 
Unidentified Analyst: Okay, thanks for the color. 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Thanks, Kevin. 
Operator: Your next question comes from Mr. John Neff, William Blair & Company. You may ask your question. 
John Neff - William Blair & Company: Thanks, guys. Your guys described about 63% of the options that you granted are performance vesting based, not just time vesting. Can you describe what the key performance metrics are that you use to track that vesting? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Thanks, John. Last year we introduced performance based options because we thought it was really important to balance the needs of our employees and also our shareholders to important constituents. The performance based options vest over a two year period, if we attained metrics that relate either to our growth of ASP or net income. And so, those metrics would be the lower of one of the those two items, over a two-year period. 
John Neff - William Blair & Company: Okay, good. I was just wondering if you could describe the growth in employees as they have been concentrated in one bucket or the other of the third, a third, a third you mentioned. Is there a geographic concentration of that growth and what might you expect for hiring growth in ’08? 
Philip A. Hadley - Chairman and Chief Executive Officer: As far as looking back at ’07, there wasn’t a concentration in any one discipline when you compare it on content collection, sales and consulting and/or engineering product development. From a geographic point of view we added more employees non U. S. than we did in the U. S. and that just really reflects what we think is the opportunity in those relative markets.  Going forward, we will continue to invest heavily in headcount and our current plans are to keep our headcount investment and our revenue growth rate in very similar zip codes. 
John Neff - William Blair & Company: Great. And then your CapEx guidance of $38 million to $44 million in ’08, is there any implicative real estate or consolidation expenses in there? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: The CapEx guidance doesn’t, has us moving in Boston from one location to another. And so when you are moving as opposed to expanding an office, you're going to spend more money in CapEx. And I also would add that the CapEx guidance also would include our upgrading from one version of HP’s mainframe to another and it would also follow if CapEx is higher doing a year of upgrade versus a year of just adding to or expanding the number of mainframes that are necessary based on client demand. 
John Neff - William Blair & Company: Okay, one more question, if I could. The DSOs looked they just plunged in the quarter. In the last quarter you started invoicing it month and at the beginning of the month… I reverse that… beginning of the month, before month-end there was a change. Can you just walk us through the impact that had this quarter if any on DSOs? And what sort of sustainable level for DSOs we should think about. Is it third quarter number or the fourth quarter number you just ordered today? 
Philip A. Hadley - Chairman and Chief Executive Officer: I think as far as the DSO’s are, I think the number we referred today is more valuable than it was 90 days ago. Our receivable balance is flat over the last 12 months, while our revenue gross rate has increased 23%. And one of that reasons is because we're billing on the first day of the month versus the last. And we have… we've continued to work very hard on our collection activities and our goal is to keep our receivable growth to be lower than our revenue growth. And so obviously fiscal ’07’s performance is superlative and it will be difficult to replicate that going forward. 
John Neff - William Blair & Company: Thanks very much. 
Operator: Your next question comes from Lisa Monaco, Morgan Stanley. You may ask your question. 
Lisa Monaco – Morgan Stanley: Hi, good morning. A couple of questions. Just on the growth in the U. S. versus overseas. I’m surprised at how similar the growth rates are. I would have thought, overseas would be growing at a higher rate than the U. S. Can you just talk a little bit about how those markets might be different or the products, different product offerings in each of the markets? And then somewhat related, is there any way to give us some idea about the margin if it's similar in the regions? And then I have a follow up. Thanks. 
Philip A. Hadley - Chairman and Chief Executive Officer: Hi, Lisa, how are you this morning? 
Lisa Monaco – Morgan Stanley: Hi, Phil. 
Philip A. Hadley - Chairman and Chief Executive Officer: So, part of the reason is because the U. S. hasn’t decelerated nicely. Part of the reason is because the product lines are different across the world. We have a tendency to produce the product first in the United States, and then extend it across the world. But that is true in two major product lines that we have. So portfolio analytics from the equity side is mature worldwide and anybody that purchases these products gets full functionalities. Portfolio analytics on the fixed income side is ready for the market in the U. S. and it still has targets to be made on the non U. S. markets. Obviously, a lot more securities in local markets to deal with. It's just an example of it just takes us longer to get the products to maturity in the global marketplace than it does in the U. S. marketplace, just because of the complexity. The same would be true with the Marquee product line. Marquee is easier to load in the U. S. and North America exchanges than it is to load in the rest of the world.  So some of the drivers that accelerate the U. S. haven’t yet hit full strength in the non U. S. markets. And as you take that outside of the U. S or just market by market, some markets are hot, some markets aren’t, depends on what’s going on in local markets and where our market share is already and what kind of sales force we have in the ground in the local markets because it gets smaller as you get country by country. But I feel very comfortable with the opportunity I’ve had. The U. S. growth is very strong. 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Hi, Lisa. Thanks for your question on the margins, U.S. versus non U. S. The way we really manage FactSet is through one P&L. And while we do have segments and we break out those segments, we see in our SEC filings we have a very big asterisk telling the world that we have one P&L and it's very difficult to allocate expenses from one location to another, primarily because most of our engineering activity is located here in the U. S. and they work on products that benefit all geographies, as well as a lot of our infrastructure related to the data centers. So, there’s nothing there that leads us to believe that the margins are significantly different in either location, the products are priced very similarly. The clients, and their activities and their profit margins we think are consistent from one geography to another. But I just don’t have a hard fact that I can give you on your question. 
Lisa Monaco – Morgan Stanley: Okay, great. And then, just you mentioned an increase in data, I think you said data collection costs or I’m not sure if you said data collection or data creation. Can you just elaborate on what contents that you're adding to or enhancing and kind of like that’s going to be a focus of some of your investment spending, going forward where you need to beef up some of your content then. Thanks. 
Philip A. Hadley - Chairman and Chief Executive Officer: So, there's several acquisitions, we've had several content systems backed up that we create and maintain ourselves. Institutional holdings is one. CallStreet is solving transcripts, transcribed [ph] is another. Several other content sets we've created organically. It has been a revenue driver for us in the last year as well. We don’t talk about it much but it kind of gets blended into the region in the various product lines and it has produced high returns for us and it's given us a competitive advantage. So, we continue to invest heavily in each of the contents thus to make sure that they meet the needs of each of our clients. We, our primary position in the marketplace is at the very high end of the marketplace which demands us to make sure the content sets are A+ in their space. And we continue to focus to make sure that that happens, and it requires people and focus. 
Lisa Monaco – Morgan Stanley: Is there any particular content set that you’re focusing on adding to or enhancing? 
Philip A. Hadley - Chairman and Chief Executive Officer: No. I think each one of them has a set of priorities attached to them. Whether it’s the earnings estimates, the institutional holdings, M&A, the private company, the private equity, venture capital and several more, each of them requires investments. And there are a lot of players in this space that collect content and you have to find a niche and make sure you’re the best of them. 
Lisa Monaco – Morgan Stanley: Okay, great. Thanks. 
Operator: The next question comes from Mr. Jeff Cardon, Wasatch Advisors. You may ask your question. 
Jeff Cardon - Wasatch Advisors: Hi, thanks, guys. The only question I have is, what was the FASB 123 cost for the quarter? Can you hear me? 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Hi, Jeff. Thanks for your question. The stock based compensation expense for the quarter was $2.3 million. 
Jeff Cardon - Wasatch Advisors: Great, thanks. That was it. Thank you. 
Operator: [Operator Instructions] 
Peter G. Walsh - Chief Financial Officer and Senior Vice President: Thank you very much. We’ll see you in December. 
Operator: This concludes today’s call. Thank you for participating. You may disconnect at this time.  ….